Operator: Thank you for standing by, and welcome to the Suburban Propane Partners Fourth Quarter and Fiscal Year End Earnings Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. Thank you. I'd now like to turn the call over to Davin D'Ambrosio, Vice President and Treasurer. You may begin.
Davin D'Ambrosio: Thank you, Rob. Good morning, everyone. Thank you for joining us this morning for our fiscal 2025 fourth quarter and full year earnings conference call. I'm here with Michael A. Stivala, our President and Chief Executive Officer, Michael A. Kuglin, Chief Financial Officer, and Alex Centeno, our Senior Vice President of Operations. This morning, we will review our fiscal 2025 fourth quarter and full year financial results, along with our current outlook for the business. Once we have concluded our prepared remarks, we will open the session for questions. Our conference call contains forward-looking statements within the meaning of Section 21E of the Securities Exchange Act of 1934, as amended, relating to the partnership's future business expectations and predictions and financial condition and results of operations. These forward-looking statements involve certain risks and uncertainties. We have listed some of the important factors that could cause actual results to differ materially from those discussed in such forward-looking statements, which are referred to as cautionary statements in our earnings press release, which can be viewed on our website at suburbanpropane.com. While subsequent written and oral forward-looking statements attributable to the partnership or persons acting on its behalf are expressly qualified in their entirety by such cautionary statements, our annual report on Form 10-K for the fiscal year ended September 27, 2025, which contains additional disclosure regarding forward-looking statements and risk factors, will be filed on or about November 26. Once filed, copies will be obtained by contacting the partnership or the SEC. Certain non-GAAP measures will be discussed on this call. We have provided a description of those measures, as well as a discussion of why we believe this information to be useful, in our Form 8-Ks, which was furnished to the SEC this morning. Form 8-Ks will be available through a link in the Investor Relations section of our website. At this time, I will turn the call over to Michael A. Stivala for some opening remarks. Mike?
Michael A. Stivala: Thanks, Davin, and thank you all for joining us today. Fiscal 2025 was another outstanding year for Suburban Propane Partners, L.P. In our core propane business, propane demand was strong as a result of a sustained period of more normal winter weather in the heart of our footprint from mid-December through February, the most critical months for heat-related demand, as well as strong demand in our Southeast operations in the aftermath of Hurricanes Helene and Milton in the first fiscal quarter. And incremental volumes from our acquisition of a well-run propane business in our Southwest territory, which we closed in November 2024. I am extremely proud of how our field personnel at every level worked tirelessly to meet the surge in demand when our customers needed us most, while also opportunistically taking on new business when some of our competitors were unable to keep up. This was a real testament to the preparation by our operations teams and the flexibility of our operating model to ramp up when demand dictates. And with safety as our highest priority, what's even more impressive is how our employees performed during a prolonged stretch of very high activity levels and some harsh operating conditions while not compromising on our highest standards for safety. As a result, propane volumes for fiscal 2025 increased nearly 6% compared to the prior year. Strong volumes, combined with effective margin management during a rising commodity price environment and good expense discipline, contributed to a $28 million or 11.2% increase in adjusted EBITDA compared to the prior year. In addition to the higher earnings, we had a number of key accomplishments in fiscal 2025 in support of our long-term strategic growth initiatives. Just to highlight a few, we acquired and integrated a well-run propane business in strategic markets in New Mexico and Arizona for a total consideration of approximately $53 million. Subsequent to the end of fiscal 2025, just in October 2025, we further invested in the growth of our core propane business with the acquisition of two high-quality businesses in attractive markets in California for a total consideration of $24 million. We created a dedicated sales and business development team focused on specific propane verticals that are less weather-sensitive and present opportunities for growth as the advantages of propane become a bigger part of the conversation. These verticals include opportunities in material handling, agriculture, power generation, and over-the-road vehicles. We continue to identify and pursue new market expansion opportunities to establish and extend our presence in certain attractive markets. We secured an incremental supply of renewable propane and exceeded 2 million gallons of renewable propane sales focused primarily in the California market, coupled with expansion into the Florida and Virginia markets to meet customer demand for a renewable alternative. We entered into a multiyear partnership with NASCAR and Speedway Motorsports, making Suburban Propane the official propane partner of NASCAR and Speedway Motorsports, reflecting the reliability of our national presence and demonstrating the power and versatility of propane at one of America's top spectator sports. In our RNG operations, we continue to implement several operational improvements at our Stanfield, Arizona facility to stabilize and grow RNG production, enhance safety protocols, modify feedstock intake practices, and improve our overall plant efficiency to strengthen the long-term performance and returns of the facility, while also advancing the capital projects at our Columbus, Ohio, and Upstate New York facilities, both of which are expected to come online in 2026. We also expanded our RNG management team with dedicated safety, construction, and compliance personnel to bring more expertise in-house. And focusing on our balance sheet, we launched an at-the-market equity program to sell up to $100 million of newly issued common units, raising $23.5 million in net proceeds from the sale of 1.3 million common units at attractive prices during fiscal 2025. Proceeds from the ATM program are being used to support our ongoing pursuit of opportunistic growth and to accelerate debt reduction. During the year, using excess cash flows and proceeds from the ATM program, we deployed nearly $53 million for propane acquisitions, over $25 million for our growth projects in the RNG business, and reduced our overall debt by nearly $2 million. With the increased earnings and slightly lower outstanding debt, we ended fiscal 2025 with a leverage ratio of 4.29 times, a significant improvement from 4.76 times at the end of the prior year. In addition to the strong operating and financial performance during fiscal 2025, we embarked on a multiyear technology modernization initiative that will simplify the way we operate, consolidate our systems platform, and improve the tools we use to serve our customers, delivering a better experience for both our employees and our customers. This initiative will not change our personalized hyper-local business model that sets Suburban Propane apart as best-in-class operators within the propane industry. So fiscal 2025 was a very successful year for Suburban Propane, both in terms of our financial performance and from executing on our long-term strategic growth plans, while remaining patient and disciplined to maintain financial flexibility through a strong balance sheet. A little later, I will provide some closing remarks. However, at this point, I will turn the call over to Michael A. Kuglin, who will discuss our full year and fourth quarter results in more detail. Mike?
Michael A. Kuglin: Thanks, Mike, and good morning, everyone. I will start by focusing on our full year results, then give some color to the fourth quarter at the end of my remarks. To be consistent with previous reporting, I am excluding the impact of unrealized noncash mark-to-market adjustments on our commodity hedges, which resulted in an unrealized gain of $2.4 million in fiscal 2025 compared to an unrealized loss of $14.6 million in the prior year, along with certain other noncash items we have identified in the reconciliation of net income to adjusted EBITDA in the press release. Including these items, net income for fiscal 2025 was $128.4 million or $1.97 per common unit compared to $107.7 million or $1.68 per common unit in the prior year. Adjusted EBITDA for fiscal 2025 was $278 million, an increase of $28 million or 11.2% compared to the prior year. Retail propane gallons sold in fiscal 2025 were 400.5 million gallons, an increase of 5.9% compared to the prior year. The volume increase was driven by sustained widespread cold temperatures during the most critical months for heat-related demand, increased demand for backup power generation, and other applications in the aftermath of Hurricanes Helene and Milton, continued growth in our counter-seasonal national accounts business, and incremental volumes from our recent propane acquisitions. With respect to the weather, average temperatures for fiscal 2025 were 9% warmer than normal and 4% cooler than the prior year. During January and February, average temperatures were comparable to normal and 13% colder than the same period last year. From a commodity perspective, average wholesale propane prices for fiscal 2025 were 79¢ per gallon, basis month billed, which was 5.8% higher than the prior year. According to the most recent report from the Energy Information Administration, US propane inventories at the end of last week were at 106 million barrels, which was 6% higher than a year ago and 13% higher than historical averages for this time of year. Given the strength in inventories, wholesale propane prices have trended down from the end of the fiscal year and are currently in the 60¢ range, compared to the 80¢ range at the same time last year. Excluding the impact of the mark-to-market adjustments on our commodity hedges that I mentioned earlier, total gross margin of $866.4 million in fiscal 2025 increased $46.8 million or 5.7% compared to the prior year, primarily due to higher propane volumes sold and higher propane unit margins. Excluding the impact of the unrealized mark-to-market adjustments, propane unit margins for fiscal 2025 increased 2¢ per gallon or 1%, with margin expansion experienced across all customer categories. In our RNG operations, average daily RNG injection for the fiscal year was approximately 13% lower compared to the prior year, primarily due to downtime experienced during several operational improvement projects designed to enhance future RNG production, as well as multiple power outages and extremely cold ambient air temperatures in the Arizona area during the winter that impacted anaerobic digestion. While we remain focused on executing controllable operational improvements, revenues at the Stanfield facility continue to face headwinds from lower prices for both California LCFS credits and federal D3 RINs. California LCFS credit prices remain depressed relative to historical levels, though average prices for fiscal 2025 increased 2.5% compared to the prior year. We are encouraged to see the finalization of amendments to the LCFS program implemented by CARB, made effective as of July 1, 2025, with accelerated carbon reduction targets aimed to create a better balance in the LCFS credit bank. Since the amendments were finalized in June 2025, LCFS credit prices have increased over 30%. Conversely, average federal D3 RIN prices for fiscal 2025 decreased 25% compared to the prior year. With respect to expenses, combined operating and G&A expenses increased $23.7 million or 4.2% compared to the prior year. The increase was primarily due to higher payroll and benefit-related expenses, overtime, and other variable operating costs to support increased activities associated with incremental customer demand, as well as higher variable compensation expense associated with the increase in earnings and costs related to the technology initiative that Mike mentioned earlier. Net interest expense of $76.3 million for fiscal 2025 increased $1.7 million compared to the prior year, due to higher average outstanding borrowings under our revolving credit facility, partially offset by lower benchmark interest rates. Total capital spending for fiscal 2025 of $72 million was $12.5 million higher than the prior year, primarily due to advancing construction efforts at our RNG facilities in Columbus, Ohio, and Upstate New York. For fiscal 2026, capital spending for our propane operations is expected to be consistent with historical levels, which is between $40 million and $45 million, and CapEx for the RNG projects is expected to range between $30 million to $50 million, with the spending concentrated in the first half of the fiscal year. We expect the capital spending at our RNG facility in Upstate New York to qualify for investment tax credits under the Inflation Reduction Act at a rate of 30%, which equates to a range of $7 million to $9 million in tax credits that could be earned and monetized on the assets placed into service. Turning to our results for the fourth quarter of 2025, consistent with the seasonality of our business, we typically report a net loss in the fourth quarter. With that said, excluding the effects of certain noncash items in both years, we reported a net loss of $35.7 million for the fourth quarter, or 54¢ per common unit, which is flat compared to the prior year. Adjusted EBITDA for the fourth quarter was $700,000, which was also essentially flat compared to the prior year. Retail propane gallons sold during the fourth quarter increased 1.8% compared to the prior year. Total gross margin increased $5.3 million or 4% compared to the prior year, primarily due to higher volumes sold and higher unit margins. Combined operating and G&A expenses increased $5.8 million or 4.5%, primarily due to higher volume-related variable operating costs, higher variable compensation, and costs related to our technology initiative. Excluded from adjusted EBITDA for the fourth quarter of 2025 is an impairment charge of approximately $6 million to fully write down the carrying value of our investment in an early-stage energy technology company, as well as income with the reversal of the earn-out reserve associated with the RNG acquisition. The earn-out was contingent upon the acquired assets achieving certain EBITDA thresholds over a certain period. During the fourth quarter, we determined that the contingent consideration would not be earned. These noncash items were reported within OtherNet's statement of operations. Turning to our balance sheet, during the fiscal year, we utilized a combination of cash flows from operating activities and net proceeds of $23.5 million from the issuance of common units under the ATM program to fund a propane acquisition for a total consideration of $53 million, growth capital expenditures of $25.5 million for advancing construction activities at our RNG production facilities, and repayment of outstanding borrowings under our revolving credit facility of $1.8 million. With the improvement in earnings and debt reduction, the consolidated leverage ratio for fiscal 2025 improved to 4.29 times. We have more than ample borrowing capacity under our revolver to support the completion of our planned capital expansion projects, as well as our ongoing strategic growth initiatives. As we continue to focus on the execution of our long-term strategic goals, we also stay focused on maintaining a strong balance sheet. With that, I will turn it back to Mike.
Michael A. Stivala: Thanks, Mike. As announced in our October 23 press release, our Board of Supervisors declared our quarterly distribution of $0.325 per common unit in respect of the fourth quarter of 2025. That equates to an annualized rate of $1.30 per common unit. The quarterly distribution was paid yesterday, November 12, due to the Federal Reserve closing on the eleventh for Veterans Day, to our unitholders of record as of November 4. Our distribution coverage continues to remain healthy, at 2.13 times for the trailing twelve months ended September 2025. I also want to take a moment to thank and honor our great American veterans for their service, including so many that are part of the Suburban Propane family, as we just passed Veterans Day. So just a few closing remarks regarding our long-term strategy. Our long-term strategic growth plan remains to foster the growth of our core propane business while making strategic investments in lower carbon renewable energy alternatives through our Suburban Renewable Energy subsidiary, leveraging our core competencies in safety, customer service, and logistics, especially in the localized energy distribution markets. The energy evolution is a long journey, one that requires a pragmatic and balanced approach to identifying and fostering energy solutions that can lower greenhouse gas emissions and our country's overall carbon footprint. It requires solutions that can deliver energy that is reliable, affordable, and sustainable. We have definitely seen a shift in the conversation that is benefiting propane by recognizing propane's versatile, affordable, on-demand nature and its clean qualities as an immediate and long-term solution to helping lower the carbon footprint. We are very well positioned to take advantage of this growing respect for propane given our operational and financial strength and stability. We are also maintaining our focus on innovation to ensure that Suburban Propane continues to be regarded as a trusted local distributor of energy for decades to come. That innovation includes our advancements in delivering renewable propane and renewable natural gas as direct drop-in replacements for their traditional energy equivalents. The energy evolution is in the early innings. The investments we have made have been very measured and focused on long-term growth and sustainability. It is great to see a more pragmatic approach toward the energy evolution and also great to see a supportive regulatory and policy framework that contemplates a more deliberate and inclusive environment to drive down emissions over time and with an all-of-the-above philosophy for energy solutions. We are very excited to be starting a new heating season, and our people and platform are very well prepared to handle whatever this year's weather dictates. With that, I want to thank our more than 3,300 employees for helping make fiscal 2025 another successful year for Suburban Propane and for their unwavering commitment to safety for our customers, our employees, and the communities we serve. And as always, I hope you and your families remain safe and healthy, and I wish everyone a very happy holiday season. We appreciate your support. We would now like to open the call up for questions. And, Rob, if you could help us with that.
Operator: Thank you. We will now begin the question and answer session. We will pause for just a moment to compile the questions. And, again, if you would like to ask a question, please press. And we have no questions. I will now turn the call back over to Michael A. Stivala for some final closing comments.
Michael A. Stivala: Great. Thank you, Rob. I think we have said enough. We are excited about the new year, and we look forward to talking to everybody after our first quarter in February. And please have a safe and happy holiday season. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.